Operator: Good morning my name is Lenin.  I’ll be your conference facilitator today.  At this time I would like to welcome everyone to the Rite Aid Third Quarter Conference Call.  All lines have been placed on mute to prevent any background noise.  After the speaker’s remarks, there will be a question and answer session.  If you would like to ask a question during this time simply press “*”, then the number “1”, on your telephone keypad.  If you would like to withdraw your question, press the “#”.  Thank you. I would now like to turn the conference over to Mr. Kevin Twomey, Chief Financial Officer for Rite Aid.  Please go ahead sir.
Kevin Twomey: Thank you, Len, and good morning everyone.  We welcome you to our third quarter conference call.  Mary Sammons, our President and Chief Executive Officer, is also in the call with me.  Agenda for today’s call will be as follows; Mary will first give an overview of our third quarter, I will follow with the review of the third quarter financial result and comment on our fiscal 2006 guidance, and then we will take questions.  But before we begin, I’d like to remind you that today’s conference call includes forward-looking statements.  Actual-results could differ materially from those projected in the forward-looking statements.  The factors that could cause actual-results to differ are described in our fiscal 2005, annual report on Form 10-Okay, and our periodic reports on Forms 10-Q and 8-K if any.  Consequently all of the forward-looking statements made during this call are qualified by these and other factors, risks and uncertainties.  Also during today’s call, our non-GAAP financial measure called adjusted EBITDA as mentioned.  The definition and purpose for using this measure is described in the Form 8-K, we furnished with the SEC this morning.  The Form 8-K can be accessed through our website under the tabs entitled our company and investor info.  You are also directed to consider other risks and uncertainties discussed in documents we filed with Securities and Exchange Commission.  Now we’ve covered the administrative aspects of the call, let’s begin.  Mary?
Mary Sammons: Thanks Kevin, good morning everyone and thank you for joining us today for our third quarter conference call.  Third quarter’s same-store sales increased by 1.7%, pharmacy same-store sales rose 0.7%, and we saw positive script count growth at the end of the quarter.  This is good news and even better, both our front-end and pharmacy sales improved each month of the quarter, with November posting the strongest performance in monthly comps in over a year.  Even the central division which has borne the brunt of the negative impact of the United Auto Workers shift to mandatory mail order for prescriptions, starting to see improvement over prior quarter.  We are pleased with these positive sales trends which have continued into December. Today we reported a 5.2 million net loss, and a decline in adjusted EBITDA compared to the third quarter of last year, an increase in S&GA as a percent of sales and higher occupancy cost resulting from more sale-leaseback transactions year-over-year, continued to negatively impact EBITDA comparisons as they did in the second quarter.  The increase in S&GA reflects our commitment to the Rite staffing levels to improve customers satisfaction as well as additional advertising spend for market specific tactical marketing plan, and our Medicare Part D marketing program.  As you know the benefit of sale-leasebacks, the additional capital they provide to invest in our store base. Hurricane Katrina had no significant impact on our operating result as much as the pharmacy business from our four stores that were destroyed, and our 13 stores that are that are still closed moved to other Rite Aid stores in the neighboring areas.  Our associates continue to work hard to serve the many Right Aid patients who have been transplanted by the storm. Let’s talk about pharmacy results in the quarter.  The improved sales reduced several key items, the cycling of major health plan changes, a slightly more positive cost cold and flu season improved customer satisfaction in the pharmacy, and the tactical marketing and operational plans and select markets that I talked about earlier.  These tactical programs coupled with extra focus by field management on customer service initiatives delivers significant results.  We will continue to invest in these initiatives.  New generic dispensing negatively impacted our comp sales by 164 basis points that positively impacted margin, with generic dispensing up 336 basis points year-over-year.  We continued to focus on the opportunity to take advantage of new generics and grow the overall contribution as generics to our mix.  We improved our margins and delivered great value to both our patients and Managed Care. Front-end sales were strong throughout the quarter, posing a 3.4% increase.  Core drug store, health and beauty care and general merchandise all showed gains.  Vitamin sales improved and we opened 61 new GNC stores in the store vitamin department, bringing the chain wide total to 1166.  Consumables continued to show very strong growth with double-digit increases.  Private brand sales were also up over last year.  So far this year we have introduced 353 new private brand SKU’s, and are well on our way to our goal of 400 by the end of the fiscal going year. Digital photo of sales once again performed better than the overall one hour photo film and photo finishing category.  We are seeing good response to the digital one-time used camera and video products we introduced in 800 of stores in November, and which we will rollout to an additional 700 stores this month.  The new digital print-to-store online service which is now available in 800 stores and will be offered chain wide by the end of the fiscal year also strengthens our offerings in this important category. During the quarter we continued to make significant progress in our key strategic growth initiatives.  Our store development program continues to be on track to meet our goals of 80 new and relocated stores this fiscal year.  And we are well underway in planning for a 125 to 115 new and relocated stores for fiscal ’07.  New store growth and strategic markets whether the organic, or through acquisition continues to be a top priority for us.  As I mentioned earlier our customer satisfaction scores continued to improve again this quarter both in pharmacy and also on the front-end, with pharmacy scores for timely filling of the prescriptions, and courtesy and timeliness of staff increasing to mount. As part of our initiatives we gained new customers Rite Aid Health Solutions our new pharmacy benefit management company made significant progress in the quarter.  We developed a comprehensive sales and marketing program and began using it with potential Managed Care clients.  We hired a Vice President of Sales with extensive pharmacy benefit management and Managed Care experience that we will name later this month.  As we have said before, our goal is to strategically target plans and employers to provide a low cost alternative to mail order as well as develop clinical programs that can reduce health care cost. Our acquisition team continued to aggressively identify and pursue prescription file-by, making it quarter goal and putting this on track to make our target for the year.  We made good progress in initiatives design to bring more customers into our stores, focusing on our health and wellness positioning.  Take Care in-store medical clinics, (indiscernible) practitioners who provide diagnosis and treatment for common family illness, vaccinations and physical exams successfully opened in 10 Rite Aid stores in the Portland, Oregon area.  So far the response from customers has been outstanding.  More than 1000 customers visited the clinics in the first two weeks, taking part in the grand opening event as well as receiving medical treatment including immunization.  We drew many new customers to our stores, and have seen positive impact to our business.  We have planned some place to expand the in-store clinic concept to other market. In November national diabetic month we reemphasized our commitment to patients with diabetes focusing on the disease as part of our quarterly health condition marshalling program.  Our diabetes specialist, our website that carries the most up to-date information about the disease, and our partnership with American Diabetes Association continues to put us at the fore-front of diabetes care.  Perhaps our most significant initiatives during the quarter, is the extensive education and marketing program we have launched around the new Medicare prescription drug benefit.  Today we and our partners including United Health Care, Aetna, and Coventry have hosted 1000’s of in-store events, often attracting several hundred seniors in one day.  We are also getting good response to our in-store Medicare information center, which explain the benefit and also carry a listing of plans available in each of our stores specific geographic area.  And our pharmacists and we have promoted as a key resource for understanding Medicare Part D, our busy answering questions both from seniors as well as our care givers.  Seniors tell us they want to take advantage of this prescription assistance but as they also want to take their time to make sure they enroll in the best plan for them.  Our Living More senior loyalty program has grown to nearly 2 million members during the quarter, as we enhanced these benefits to attract even more senior customers to Rite Aid.  Through news letter mailings to living more members, circular advertising in key senior market, and in-store promotion, we are positioning Rite Aid as the best choice for seniors covered by Medicare Part D. One other important initiative in the third quarter is the new corporate structure we announced in October.  We had combined all functions that directly impact our stores under the strong leadership of our new Chief Operating Officer, Jim Mastrian.  And on Jim’s team all the functions that impact marketing, merchandising and supply chain under Mark Panzer, and all the functions that directly impact our pharmacy business under Mark de Bruin.  This gives us a stronger more cohesive and effective operation.  Jim and his team are currently in the process of further strengthening our field operation to make it even more pharmacy focus.  I will have more details on this on our next call. I mentioned earlier that our positive sales trends that continued into December.  Focus on our key strategic initiatives is delivering results.  With this positive momentum going forward we are definitely expecting to have a strong December, and to finish this selling season coupled with the extra week in, a 53 week year to have a strong fourth quarter.  Now I will turn it over to Kevin.
Kevin Twomey: Thanks Mary.  Let’s begin with the operating statement.  Total revenues for this quarter were 4.15 billion compared to 4.11 billion last year, or an increase of 38.3 million.  We operated 3,333 stores at quarter end versus 3,363 stores at the end of last year’s quarter, which is a net reduction of 30 stores.  Hurricane Katrina caused the closure of 13 of those 30 stores.  Revenue increase for the quarter was 38.3 million is primarily due to the 1.7% increase in same-store sales that Mary mentioned.  That improvement is primarily due to this quarter’s positive pharmacy sales of 0.7, which was a positive for the first time since the third quarter of last year, and also due to the front-end same-store sales of 3.4%.  Our programs including customer satisfaction, especially in the pharmacy are gaining traction. The impact of Hurricane Katrina was included in the third quarter as Mary mentioned, it initially impacted a 109 of our stores primarily to the loss of power.  Currently we have 18 stores that are closed because of the Hurricane, but prior to those 18, are operating out of trailers and we except them to reopen soon.  The 18 stores have been excluded from our same-store sales calculation since the beginning of September, but are not significant to our results of operations.  We have adequate insurance for replacement value of the inventory, replacement value of the fixed assets and for business interruption losses and expenses.  Just continue down the operating statements and then I will cover gross profits. Gross profits remember, are net of occupancy expenses and they were 1.02 billion or 24.55% of revenues for this quarter, versus 1.01 billion or 24.56% of revenues for last year, so the percents were relatively flat.  The current quarter included a non-cash LIFO charge of 7.6 million versus a charge of 5.8 million last year’s quarter.  The LIFO charge increases simply due to the effect of higher estimated product inflation.  Excluding LIFO this quarter gross margin was 24.74% compared to 24.70% of revenue last year, or an increase of 4 basis points.  The 4 basis point increase in our FIFO gross margin can be explained primarily in 2 pieces.  The positive component is a 12 basis points increased contribution from pharmacy gross profit.  We had an increase in genetic prescription as a percent of total prescription and reduced inventory costs resulting from purchasing improvement.  Pharmacy gross profit strengths continued, even with lower reimbursement rates.  Partially offsetting the pharmacy gross profit contribution is an increase in rent expense which reduced gross margin by 10 basis points, the increase in rent expenses caused by the new and relocated stores and the sale-leaseback of 64 stores since the third quarter of last year.  As you recall after stores are sold in leaseback we incurred rent expense where as when the stores are owned we incurred depreciation and interest expense. Front-end gross profit was flat.  The contribution that is, although front-end sales were higher than last year, the gross margin rate for front-end was down slightly.  Consequently front-end contribution to gross profit was flat.  Although we did not change our promotion program customers purchased more promotional products. Selling, general and administrative expenses for the quarter increased as a percent of revenues by 93 basis points compared to the prior year.  The current quarter included 0.7 million of litigation settlement income in SG&A compared to the prior year’s quarter litigation settlement income of 14.5 million.  This 13.8 million decrease in income accounted for 33 basis points of the 93 basis points increase in SG&A.  The remaining 60 basis points increase in SG&A was primarily the result of higher salaries and wages and benefit expense, some higher advertising expense and an increase in fees for our accounts receivable securitization facility.  All of which support our strategic initiatives.  The current quarter also was negatively impacted somewhat by higher energy expense. Non-cash based compensation, stock-based compensation expense is included in our SG&A, it was 6.1 million this quarter versus 5.0 million in the prior year, remember we expense the fair value of stock options branded.  Continuing down the operating statements store closing and impairment charges were about the same as last years charge.  Interest expense was 66.9 million for the quarter versus 70.7 million in last year’s quarter due to lower cost to borrow.  This reduction was primarily due to greater utilization of our accounts receivable securitization and improvement in pricing in our senior secured credit facility which was amended in September of 2005.  Cash interest expense was 61.8 million for this quarter versus 65.8 million last year, and non-cash interest expense was 5.1 million versus 4.9 million last year. Loss on debt retirements was 0 on the current quarter but 20.2 million in the last year’s third quarter.  Remember last year’s third quarter included the expense related to amending and paying down the senior secured credit facility. Regarding income taxes, the current quarter we had a 1.1 million income tax benefit and that’s because we have a pre-cash loss for this quarter.  Last year’s quarter had a 5.4 million income tax expense because the quarter had pretax income.  Although we know that the prior year quarter also included a catch-up adjustment related to a change in the estimated annual effective income tax rate.  Therefore the prior year’s quarter effective income tax rate is higher than the current year’s quarter effective income tax rate. Net loss for the quarter then was 5.2 million compared to net income for last year’s quarter 8.3 million.  The net loss per diluted share was $0.02 for both quarters.  Each quarters diluted per share calculation includes the, declared preferred stock dividends.  Remember preferred stock dividends are not included in the net loss or net income but they are considered in calculating the earnings or loss per share. Let’s move back to adjusted EBITDA that Mary mentioned earlier.  For the quarter it was 141.3 million, or 3.4% of revenue that the decrease of 21.7 million from the prior year.  The schedule of cash through press release reconciled our net loss, or net income to our adjusted EBITDA total.  That decrease was primarily due to the 60 basis points that I mentioned increased in selling and general administrative expenses. Let’s turn to the cash flow statement; net cash provided by operations for the quarter was 22.9 million this quarter versus 291.4 million last year’s quarter, that 268.5 million decrease, is primarily due to the 280 million decrease in the sale of accounts receivable, under our securitization agreement.  The impact on cash provided from, by operation from the decrease in adjusted EBITDA was more than offset by less of a seasonal increase in inventory net of payable. Net cash used in investing activities for this quarter was 76.1 million versus net cash provided by investing activities of 2.8 million for last year’s quarter.  The increase was primarily to the result of capital expenditures for this year’s quarter being higher than last year, but closed deeds from sale-leaseback activity is being lower this quarter than compared to last quarter.  For this quarter we spent 97.4 million for property, plant, and equipment and an 11.3 million for prescription of our purchases for a total of 108.7 million of CapEx.  During the quarter we opened 8 stores, relocated 8 stores, acquired 2 stores, closed 22 which includes the 13 stores closed due to hurricane Katrina that I mentioned earlier.  And we remodeled 53 stores. Also during the quarter we completed the sale-leaseback of 9 stores for net proceed to 24.6 million.  Approximately 45 new or relocated stores will be opening in our fourth quarter.  We are on target to achieve our goal for new and relocated stores and for prescription filed by purchases for the year. Net cash provided by financing activities for this quarter was 68.2 million versus net cash used by financing activities was 605.3 million for last year’s quarter.  During this year’s quarter we paid off the term-loan and start-up amending the senior secured credit facility and borrowing under the revolver for seasonal inventory bills and capital expenditures.  During the last year’s quarter we established the account receivables securitization agreements and with those proceeds and the use of excess cash we paid down the term-loan as part of the amendment to the senior secured credit agreement. Liquidity contains to be strong; our availability under the revolver at quarter end is over 1.1 billion, at the end of the quarter we had 530 million outstanding under our senior secured credit facility which now consist solely of a 1.75 billion revolver.  We also had outstanding at the end of the quarter letter of credit of 110.7 million.  At the end of the prior year quarter we had 540 million outstanding under our old senior secured credit facility.  But it consisted of two pieces, a 90 million draw down on the old revolver and 450 million outstanding under the old term-loan which we paid off.  The 400 million accounts receivable securitization agreement continues to be in excellent source of liquidity at the end of the quarter; we had utilized the securitization agreement for 345 million. To wrap things up then, let’s discuss guidance.  We are confirming guidance for fiscal 2006 which will be a 53 week year.  We are estimating fiscal 2006 revenues to be in the range of 17.1 billion to 17.4 billion.  Revenue guidance is based on same-store sales estimate of a 0.5% to 2.0%.  Pharmacy same-store sales will be hot positive in the fourth quarter.  We are estimating fiscal 2006 adjusted EBITDA to be in the range of 675 million to 725 million.  Although we have three quarters in the year complete, you can see we are guiding you through a strong fourth quarter.  Our guidance reflects the fact that the fourth quarter is one of our strongest quarters because of the holidays, and the cough, cold, and flu season and this year includes an extra week.  Our guidance also reflects our confidence in continued improvement in both front-end and pharmacy same-store sales.  Finally, we’ve included in our guidance estimate of a negative impacts from the new Medicare prescription drug benefit program as they relates to the due eligible participants.  As well as the negative impact from increased occupancy and operating expenses of the new and relocated stores. We are estimating our net income to be between 31 million to 62 million, or a loss of $0.01 per diluted share to net income of $0.04 per diluted share.  Again short press release has a table that reconciles our adjusted EBITDA guidance to our guidance for a net income.  CapEx is estimated within the range of 350 million to 400 million for fiscal year 2006 including approximately 80 new and relocated stores. Now our guidance for net income and diluted lost per, diluted earnings per share did not include at all a possible positive adjustment to our income tax valuation allowances, further CapEx estimates did not reflect proceeds from possible sales and leaseback transaction.  This concludes our prepared remarks Len we are now ready to take questions.